Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good morning, and welcome to the WNS Holdings, Fiscal 2022 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After management’s prepared remarks, we will conduct a question-and-answer session and instructions for how to ask a question will follow at that time. As a reminder, this call is being recorded for replay purposes. 00:23 Now, I would like to turn the call over to David Mackey, WNS' Executive Vice President of Finance and Head of Investor Relations. David?
David Mackey: 00:32 Thank you, and welcome to our fiscal 2022 third quarter earnings call. With me today on the call, I have WNS' CEO, Keshav Murugesh; WNS' CFO, Sanjay Puria; and our COO, Gautam Bari. A press release detailing our financial results was issued earlier today. This release is also available on the Investor Relations section of our website at www.wns.com. 00:59 Today's remarks will focus on the results for the fiscal third quarter ended December 31, 2021. Some of the matters that will be discussed on today's call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to those factors set forth in the company's Form 20-F. This document is also available on the company website. 01:33 During this call, management will reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliations of these non-GAAP financial measures to GAAP results can be found in the press release issued earlier today. 01:50 Some of the non-GAAP financial measures management will discuss are defined as follows: Net revenue is defined as revenue less repair payments; adjusted operating margin is defined as operating margin, excluding amortization of intangible assets, share-based compensation and goodwill impairment; adjusted net income or ANI is defined as profit excluding amortization of intangible assets, share-based compensation, goodwill impairment and all associated taxes. These terms will be used throughout the call. 02:25 I would now like to turn the call over to WNS' CEO, Keshav Murugesh. Keshav?
Keshav Murugesh: 02:33 Thank you, David and good morning, everyone. First of all, my sincere thanks to every one of our employees and their families, our clients, all other key stakeholders for their huge effort, their sacrifices, and their resilience during this ongoing pandemic. We sincerely appreciate it. 03:01 In the fiscal third quarter, WNS continued to perform well and deliver solid financial results in an overall healthy BPM demand environment. Third quarter net revenue came in at $261.2 million, representing a year-over-year increase of 16.3% on a reported basis and 16.1% constant currency. 03:32 Sequentially, net revenue increased by 2.6% on a reported basis and 3.4% constant currency. In the third quarter, the company added 11 new logos and expanded 26 existing relationships. WNS posted strong adjusted operating margin of 21.4% and adjusted EPS grew 11.1% year-over-year. 04:03 In addition, we have increased the mid-point of our full-year guidance to reflect constant currency revenue growth of 15% and EPS of $3.34. Sanjay will provide further details on our third quarter financial performance in his prepared remarks. 04:27 This quarter, I wanted to highlight WNS’ differentiation and solid momentum in our data and analytics practice. Specifically, I would like to discuss our strategic approach, new capabilities, the benefits we are delivering for our clients, and some key metrics for the business segment. 04:50 WNS has already two decades of experience, driving business outcomes through data and analytics for all our clients. Our analytics practice currently has over 4,000 domain, data science, and data engineering experts focused on servicing more than 120 clients, including leading brands across industries and geographies. 05:19 We are focused on solving industry specific problems, by harvesting the power of data and analytics and co-creating data driven transformational solutions with our clients. In fact, today, we are seeing requirements for analytics as an integral part of every new digital BPO deal. 05:42 Our data and analytics strategy has three key foundational pillars in line with our overall corporate approach to BPM, the first key element is domain centricity. At WNS, we believe that a deep understanding of the client specific business sector and sub sector is critical to sourcing relevant data, developing and customizing algorithms, as well as AI learning models, and then translating the technical results into actionable insights for our clients. This approach also enables us to integrate an embed analytics into a broader industry specific solutions, which address the end-to-end business requirements of our clients. 06:32 Recently, we have helped a leading global retailer, not only optimize their existing online advertising sales, but we have also created a completely new stream of revenue using AI based personalization. This unique solution was made possible by our core retail domain knowledge, combined with our ability to develop personalization engines at scale. 06:59 As a strategic partner, we have paid a percentage of all incremental revenues, the solution is delivering. 07:08 The second core component of our analytics strategy is technology led innovation. WNS is focused on utilizing state-of-the-art cloud based analytics and AI technology capabilities to enable data driven business transformation for our clients. Now the importance of this pillar has rapidly increased over the past few years as customer expectations around creating differentiation and reducing costs have accelerated. 07:41 To enable client transformation, WNS has invested significant resources to build a complete data engineering and management services ecosystem, leveraging intelligent cloud. This capability enables us to help clients create their data strategies, and data management frameworks, migrate data workloads to the cloud, and solve their data management problems. 08:10 In addition, our analytics products and platforms group continues to combine WNS’ vertical expertise, internally developed IP, and third party partnerships to provide our clients with domain centric intelligent platforms. 08:28 One platform I would like to highlight for you today is called, UAP, our Unified Analytics Platform. UAP is a comprehensive analytics platform, deployed across industries, including insurance, banking and financial services, and manufacturing, as well as retail. The platform is cloud based, provides end-to-end integration from data to actionable insights, and is modular in nature. It can be easily embedded into the client existing infrastructure as a plug and play system or deployed in an as a service model. 09:10 For one of the world's largest insurance companies, WNS developed highly specialized AI and ML models, including fraud, NPS indemnity and subrogation to manage the end-to-end claims process from first notification of loss to claim closure. These models have now become a part of our UAP platform, which is helping save the client millions of dollars in claims, as well as indemnity costs. 09:43 A second analytics platform, which we have mentioned on a previous call is [Scents] [ph], our cognitive, data capture and processing platform. Powered by AI and ML, [Scents] [ph] imports both structured, as well as unstructured data, applies proprietary algorithms to generate contextualized information and then summarizes the data to deliver actionable business insights. This proprietary platform has the unique ability to combine, plan, and analyze large, desperate and complex data sets at an enterprise level. 10:28 [Scents] [ph] is cloud based, has been certified on Microsoft Azure and is now in the process of being certified on AWS. This platform has been recently deployed for 12 of our clients across verticals, including 3 clients in the airlines industry. 10:48 [Scents] [ph] is enabling these global airlines to process in excess of 12 million scanned pages of airway bills, while increasing accuracy and reducing the amount of manual effort and service cost by 50% to 70%. More importantly, this platform is allowing the airlines to collect tens of millions of dollars in monthly revenue, which have been held up in conflict due to incorrect airway bills, thereby improving the clients revenue, as well as cash flow. 11:26 The third pillar of our analytics strategy is our COE, our central of excellence model, which is focused on creating analytics teams dedicated to highly specialized functional requirements, The COE model leverages the domain capabilities and technology assets developed in our first two pillars to deliver unique [dealer] [ph] solutions and provide clients with scalable capacity, which serves as an extension of their own organization. 12:00 These long term engagements are strategic in nature and establish a high value beach head for relationship expansion. Today, we have developed a COE model with one of the world's leading beverage companies to provide customized analytics services for new product introduction and launch. 12:23 The COE has delivered significant benefits to the client, including a 25% increase in emerging market sales volumes, emerging market sales volumes, pardon me, through revised media spend, a 10% reduction in television advertising expenditures and over 40% reduction in primary research costs, and early visibility to emerging competition. 12:54 Overall, we are pleased with the progress in the area of data and analytics, and we believe our approach capabilities are really resonating well in the market. As a result, WNS has been able to grow our combined standalone and embedded analytics revenue above the company rate with this segment of the business, now representing approximately 20% of total company revenue. 13:21 In addition, because of the value add associated with our offerings, WNS’ data and analytics practice is delivering margins well about company average. Looking forward, we are excited about the healthy growth opportunities for WNS despite the potential for ongoing pandemic related volatility and the pressure associated with tight global labor markets. 13:49 Our clients and prospects are aggressively looking for strategic partners to help create new revenue streams, reduce their cost, increase operating efficiency, and improve the customer experience by digitally transforming their businesses. We believe WNS now remains well positioned to deliver these benefits by combining our deep domain expertise and culture of co-creation with state-of-the-art technology, advanced analytics, and business process knowledge. 14:25 The company remains focused on delivering long term sustainable value, for all key stakeholders, including our clients, employees, shareholders, as well as global communities. I would now like to turn the call over to our CFO, Sanjay Puria to discuss further our results, as well as our outlook. Sanjay?
Sanjay Puria: 14:51 Thank you, Keshav. In the fiscal third quarter, WNS net revenue came in at $261.2 million, up 16.3% from $224.5 million posted in the same quarter of last year, and up 16.1% on a constant currency basis. Sequentially, net revenue increased by 2.6% on a reported basis and 3.4% on a constant currency basis. 15:25 Sequential revenue improvement was broad based across most verticals, services, and geographies and driven by new logos, the expansion of existing relationships and increased travel volumes. In addition, WNS recorded $2.6 million short-term revenue during the quarter at company average market. 15:50 Adjusted operating margin in quarter three was 21.4%, as compared to 24% reported in the same quarter of fiscal 2021 and 21.8% last quarter. 16:05 Year-over-year adjusted operating margin decreased as a result of employee wage increases, increased facility related and travel costs, and a large amount of high margin short-term revenue recorded in quarter three of last year. This headwind more than offset increased operating leverage on higher volumes and favorable currency movements net of hedging. 16:32 Sequentially, margin reductions were the incremental wage pressure in quarter three and additional facility related and travel expenses, which more than offset benefits from productivity and operating leverage on increased volumes. 16:48 The company's net other income and expense was negligible in the third quarter as compared to $1 million of net expense reported in quarter three of fiscal 2021 and $0.9 million of net expense last quarter. Year-over-year, the favorable variance is attributable to increased interest income driven by higher cash balances, other income, including write back and asset sales, and lower interest expense relating to operating leases. 17:26 Sequentially, the favorable variance is the result of interest income on higher cash balances and other income from write back and asset sales. WNS effective tax rate for quarter three came in at 20.6%, down from 22.5% last year, and down from 21% last quarter, both year-over-year and sequentially, the reduction in our effective tax rate is the result of geographical profit mix and the mix of work delivered from tax incentive facilities. 18:03 The company's adjusted net income for quarter three was $44.4 million, compared with $41 million in the same quarter of fiscal 2021 and $43.1 million last quarter. Adjusted diluted earnings were $0.88 per share in quarter three, versus $0.79 in the third quarter of last year and $0.86 last quarter. 18:32 As of December 31, 2021 WNS balances in cash and investments total $372.1 million and the company had $8.4 million of debt. WNS generated $56.9 million of cash from operating activities this quarter, and incurred $6.1 billion in capital expenditures. 19:01 DSO in the third quarter came in at 30 days as compared to 34 days last year and 31 days last quarter. With respect to other key operating metrics, total headcount at the end of the quarter was 49,610 and our attrition rate in the third quarter increased to 36%, up from 23% reported in quarter three of last year, and up from 34% in the previous quarter. 19:34 We believe the attrition rate should stabilize in the 35% range for the next few quarters. Built seat capacity at the end of the third quarter decreased slightly to 34,474 seats. The seat utilization metric, which the company typically provides as a measure of infrastructure productivity are not meaningful given the company operated at 79% work from home globally in quarter three. 20:08 In our press release issued earlier today, WNS provided our revised full year guidance of fiscal 2022. Based on the company's current visibility levels, we expect net revenue to be in the range of [$1.08 billion] [ph] to $1.22 billion, representing year-over-year growth of 16% to 18% on a reported basis and 14% to 16% on a constant currency basis. 20:41 Revenue guidance assumes an average British pound to U.S. dollar exchange rate of 1.35 for the remainder of fiscal 2022. Consistent with our guidance approach in previous years, we currently have more than 99% visibility to the midpoint of the range, and our projections do not include any uncommitted short-term revenue or improvement in travel volumes beyond quarter three levels. 21:12 Full year adjusted net income for fiscal 2022 is expected to be in the range of $169 million to $173 million based on a 75 Rupee to U.S. dollar exchange rate for the remainder of fiscal 2022. This implies adjusted EPS of $3.30 to $3.38, assuming a diluted share count of approximately 51.2 million shares. With respect to capital expenditures, WNS currently expects our requirement for fiscal 2022 to be up to $30 million. 21:54 We’ll now open the call for questions. Operator?
Operator: 22:01 [Operator Instructions] Our first question comes from the line of Bryan Bergin with Cowen. Your line is open.
Bryan Bergin: 22:28 Hi. Thank you. Question on demand, curious if you saw any change in client decision making or project ramps as a result of the recent omicron spike and – or has been more consistent with last quarter? And can you talk about that in the context of industries, including travel?
David Mackey : 22:46 Sure, Let me take that Bryan. I think the short answer and Gautam can chime in here as well. But I think the short answer is no. We didn't see any change in behavior as a result of the recent spike from omicron. We did see an increase in volumes in the second half of December and the first half of January here in the travel vertical associated with delays, cancellations, re-bookings on the travel side, kind of similar to what we saw very early in the pandemic, but as a result, we did get some volume benefit in the travel vertical this quarter, but overall in terms of decision making in terms of demand, in terms of the lead times, no changes whatsoever from a client behavior perspective.
Gautam Bari: 23:40 Yes. And as David mentioned, besides the travel vertical the growth has been broad based and the demand continues to be extremely resilient across almost all our verticals.
Bryan Bergin: 23:53 Okay. That's good to hear. And then, on the data and analysts practice, is this a business unit that's serving us something you're increasingly leading with as you go to market to win new BPM engagements or more so across our motion into the existing base? Maybe talk about how that's evolved? And any additional detail you can provide on the relative growth for margin levels there?
Gautam Bari: 24:15 Absolutely. So, from the research and analytics practice, it has always been a unit that has functioned across all verticals and this continues to service across some of our key vertical basis – banking and financial services, insurance and manufacturing and retail and we continue to see consistent demand increase in this particular area. What we have seen is, as we continue to drive basis of our domain based agenda, the need for embedded analytics as a part of the digital and transformations requirements with the clients that drive with is consistently increasing. 24:52 So besides being a standalone group unit, the enabling portion in terms of verticals continues to rise. So what you've seen is an above industry average growth rate. Within this particular area, north of 30% this year, and margins that are well above the corporate standards that we publish.
David Mackey: 25:12 I think the only other color I'd like to add to Gautam’s commentary there Bryan is the fact that, I think we are seeing an increased stability within WNS to lead with analytics as an arrowhead. We've always been focused on embedding analytics and everything that we do to help make the processes more efficient, more insightful. 25:36 We've always had capabilities in terms of creating functional analytics that allow us to replace the analytics capacity within a client's environment, but I think some of the newer offerings that we've been developing, especially around AI and ML are allowing us to kind of lead with analytics offerings and then cross sell more of the end to end solutions. 26:00 So, the short answer is both. The reason we're in analytics is not only to lead with it and to differentiate with it, but also to make sure that we embedded in everything that we do. I do think though there has been increased stability for WNS to lead with analytics over the last year, year-and-a-half.
Bryan Bergin: 26:19 Okay. Thank you very much.
Operator: 26:23 Thank you. Our next question comes from the line of Ashwin Shirvaikar with Citi. Your line is open.
Ashwin Shirvaikar: 26:29 Thank you. Happy New Year folks and good top line trend here. But my question is on margins. I get the qualitative explanation for the margin trend, would it be possible to size the pieces because, for example, I think the wage increase obviously longer-term based impact, facility stuff seems more intermediate and short-term revenues impacted obviously short-term. So, would be good to get a forward margin view and also quantification of the pieces?
Sanjay Puria : 27:03 So, Ashwin, you know, I think absolutely right. That going forward, even though we have seen wage increases because of the replacement of some of the high resources with a higher compensation, but there are enough levers as we move forward to really offset some of this impact whether it's a short-term or whether it's a directional, and all those whether it can be driving our digital agenda, whether it's flattening the pyramid or where shifting the work in the different geography. 27:39 So, we believe that directionally will be able to really maintain the margin, you know what we have delivered over the year with continuation of our investment program, whether it's around digital or capability addition.
David Mackey: 27:56 And I think just to add to Sanjay’s comments, Ashwin, when you look at this year's margin performance, on an adjusted operating margin basis, we're looking at the full year coming in extremely similar to where we were a year ago, right? And that's despite having incremental wage pressure this year that's despite having incremental pressure coming from some of the reduced impacts of COVID, right? So, our facility expenses have gone up on a year-over-year basis, our travel costs have gone up on a year-over-year basis. 28:29 Despite those two headwinds, if you will to margins, we've been able to offset that with productivity and to a much lesser extent FX. I mean, FX has given us about a 70 basis point, 80 basis point tailwind this fiscal year, but the bottom line is, we've been able to offset those incremental employee cost, wage cost, attrition costs, and the incremental costs associated with COVID by becoming more productive, which I think is what Sanjay was alluding to earlier. The fact that there are multiple levers in our business that enable us to have the capability to offset increases from things like wages, right? 29:08 And a lot of that has to do with the ability to automate and digitize employee – client functions to drive the kinds of productivity that they're looking for.
Ashwin Shirvaikar: 29:22 Got it. Got it. Understood. And something that has been trend for you that after few quarters here, but you're adding a lot of new clients per quarter, but you're also expanding a lot of existing relationships and it's going to – just to make the differentiation not just renewing, but expanding. And as I like to frame the forward revenue growth impact of that, could you maybe talk through the various pieces of how you guys are thinking of it from a planning perspective?
Keshav Murugesh: 30:03 Sure. Hey Ashwin, this Keshav, I’ll take that. And first of all, Happy New Year to you as well. I think that’s a great question. The first thing I want to mention is just look at the quarterly results we just announced. This is the highest growth in quarter in the history of this company, right? 30:27 I really want everyone to take note of that. The fact that this has happened right in the middle of probably the biggest crisis, the biggest pandemic, and all this excitement that we just spoke about just before this. In addition, look at what we have just guided the market towards in terms of full year with a 99% visibility, we're talking about 15% constant currency growth at the midpoint of the range. 30:52 At the same time, our pipeline for business has never been healthier. You know, whether it is new business, whether it is completely new prospects, whether it is coming from broad based across every one of our verticals, whether it is around all our core geographies, and whether it is coming from completely new age kind of clients that we have always wanted bring into WNS. 31:18 I think the health of the pipeline and the excitement that we are seeing in that pipeline is absolutely stunning. I must say that. In addition to that, I must say that every one of our existing clients are actually transforming their businesses and their models and are reaching out to WNS to help them with not just the adoption, but also in terms of the model shift that they're going through. 31:46 We've spoken about a lot of these words in the past. We have spoken about how we lead through digital, this that and the other, but as Dave also mentioned earlier, research and analytics is leading the charge. Our digital offering is leading the charge. Our vertical offering is leading the charge. 32:02 The fact that we understand technology so well and have some great relationships across the spectrum of tech providers and disruptors is again very much appreciated. So, what I will say at this point in time is, all this is resulting in a very solid pipeline. I would like to say that the business opportunity continues to be very, very robust. 32:27 Obviously, there is all the time going to be some volatility that we expect, but I think this company has learned to manage this volatility extremely well. And I mean, look at the green shoots, some of our sectors are still not operating at normalcy. We spoke about travel and airlines, but the reality is, as we interact with our clients even in those sectors, all of them are looking for transformational models to come back quickly. 32:54 And even today's announcements that was made in the UK around going back to normalcy, again is a [bullish sign] [ph] about how countries want to come back. Now, obviously, in terms of modeling this and deciding how this will lead to next year's numbers, we will come back with specifics around April, but I just want to leave you with this team that, it has never been better for WNS.
David Mackey: 33:21 Yes. And just to add one thing to that Ashwin, you’re spot on when you talk about kind of the early signs of growth, right, certainly the new additions and the expansions are kind of what drives our growth. 33:34 The new additions will drive growth over a 3, 4, 5 year time horizon, but the expansions are really the ones that drive the short-term revenue acceleration for us. And when you look at the new additions, we're at 26 additions through the first three quarters of this fiscal year, we're tracking to be at or above the number of new client additions that we were at last year, which was a record level. 33:59 In terms of expansions, we've now expanded 75 relationships year to date, which exceeds the total year number from last year. So, what you see is an acceleration in those metrics. When you translate that to what you're seeing on the top line, again, Keshav talked about having a great Q3 and having 15% organic constant currency growth at the midpoint right now, which is the highest ever in the company's history, but what he didn't tell you is that implied in that midpoint is 17% constant currency growth in Q4. 34:31 So, not only seeing the early metric signs in terms of additions and expansions helping drive this, but when you look at our quarter-to-quarter performance on a year-over-year basis, what you're seeing is accelerating momentum in our top line and we're really excited to see that we've been able to build that momentum and carry that momentum, hopefully in the fiscal 2023 assuming we don't have something falling out of the bottom.
Ashwin Shirvaikar: 34:59 Got it. Thank you all.
David Mackey : 35:02 Thanks, Ashwin.
Keshav Murugesh: 35:03 Thanks, Ashwin.
Operator: 35:05 Thank you. Our next question comes from the line of Mayank Tandon with Needham. Your line is open.
Mayank Tandon: 35:11 Thank you. Congrats on the quarter. Given the favorable demand climate, Keshav and Dave, can you comment on any pricing power that you see really come into play, maybe help mitigate from a fee margin headwinds that you called out? And then sort of related to that would be, are you seeing maybe a different impact from productivity improvements that you typically see in any given year from your clients?
David Mackey: 35:35 Spot-on. I'll take a first cut at that. And then I think both Gautam and Keshav can kind of chime in as well, but your spot-on. Look, the bottom line is, the first thing that's most important is that we bifurcate pricing from total cost of ownership, right? Given the current environment, given that employees, especially specialized skills are getting more expensive, there is clearly an ability to increase pricing if you will on a unit basis. But let's not mistake that for where our clients stand in terms of total cost of ownership. 36:11 Our clients will not pay more for the same service on a quarter to quarter or a year-over-year basis. So, in terms of our ability to pass through increases to cover some of these costs, yes, there is some of that ability, but our clients fully expect that we're going to be able to offset those increasing rates with fewer resources or less cost, right. 36:33 So, this is where the ability to leverage technology and automation to make the total cost of ownership more affordable to clients becomes critical, because the clients at the end of the day, Mayank, will not pay more to deliver the same type of work. So, yes, there's some ability for us to manage wage increases and manage some of these costs, but the bottom line is it's, the onus is on us to be able to deliver the productivity to make sure that doesn't filter through to the client.
Mayank Tandon: 37:03 That's so helpful, Dave. Thanks for that. And then just as a follow-up on the supply side. We did see hiring slow a bit here, shall we read much into that? And then I think Sanjay mentioned about attrition, how do you sort of manage that? Does that in any way compromise growth going forward if it does start to continue to increase from here? Thanks.
Sanjay Puria: 37:22 Yeah. So definitely maybe during this quarter, what you would have seen that, you know there's not an addition from hiring from a net perspective, but if you recall, we did mention about one of our South Africa a client ramp down, which itself was almost more than [1,000 FD] [ph] reduction, so in fact, we added over there, as well as you know, if you would have observed during the first half, we hired more than 5,000 people. 37:51 So, you know, that was ahead of the curve and that has helped to drive some of the revenue, you know the growth what we are seeing. So, as we move forward and based on the visibility that will continue, but even during the quarter, there was a gross hiring, which was getting upset by the South Africa plant ramp down.
Mayank Tandon: 38:11 And then on the attrition, should we expect – could you just maybe walk through a few of the efforts to keep attrition at these levels, and does that in any way compromise growth going forward if it continues to increase from these levels? Thank you.
Keshav Murugesh: 38:28 So let me take that, Mayank. So first and foremost, let me categorically mention that we have all the programs in place to attract and retain talent. We will have attrition not in the areas where we want it. So, there are certain specific areas, which have high value areas and where the addition is very much within acceptable levels. In some other areas, attrition could be higher, but our model provides for it. So, first of all, let me give you that comfort. 39:00 The second thing that we state that it is not at all impacting our ability to deliver business to sign on new business and in fact to grow business even faster, right. Talent in certain areas is going to get expensive and we're seeing that, but at the same time, every single day, I'm personally interviewing and adding so many new senior leaders into WNS as well, and it shows very clearly that WNS has become a talent magnet. 39:33 So, not only, are we able to retain the right talent that we want, we have the models in place to ensure that the engine of growth is continuous to supply, but more importantly, in some of the high growth areas, we're pulling a lot of high quality talent into the company. So, very, very confident about our talent management programs. And if you look at the overall attrition numbers, it hasn't changed very much in spite of the fact that it's such a hot market Mayank.
Mayank Tandon: 40:05 Thank you, Keshav. Congrats on the quarter.
Keshav Murugesh: 40:08 Thank you very much.
Operator: 40:11 Our next question comes from the line of Maggie Nolan with William Blair. Your line is open.
Maggie Nolan: 40:17 Thanks and congrats. To kind of build on that last question there, Can you talk a little bit about your hiring goals over the next several quarters and the kind of the dynamic of how much you've hired in advance versus what you're, kind of expecting to support future growth?
David Mackey : 40:36 Sure. Look, I think there's two things that we know Maggie, right. One, we're going to have to hire here in Q4 to deliver the accelerated revenue versus Q3. Now that should be significant hiring. But I think the biggest wildcard for us honestly, is twofold, right? One is, when do our travel clients make commitments to volume increases then enable us to go out and hire and prepare to train those people. 41:04 And then the second is, what new business do we sign here in Q4 that's going to require hiring into the tail end of Q4 and into Q1, right? So, we don't typically hire significantly in advance of resources, right? This is not a build and they will come business model. 41:23 So, a lot of the hiring that we plan here in Q4 will be a function of what happens with demand, what happens with new wins here in Q4, and what happens with the travel vertical? We saw some of that in Q1 when we hired, I believe 2,500 people and the vast majority of those resources didn't generate revenue in Q1 because they were for the committed increases in the travel vertical that took place in Q2. 41:48 So, very difficult for us to say at this point, how many people we're going to be hiring here in Q4, but the bottom line is, we do expect just based on the guide where it sits today, which again doesn’t include short-term revenue, it doesn't include a travel increase, just based on that guide, we do know that we need to net add here in Q4.
Maggie Nolan: 42:11 Thanks. And then on a different topic here, can you talk through some of the nuances and pricing engagements for analytics work, particularly in the context of how much of this work is embedded analytics versus project based work?
Gautam Bari : 42:28 Yes. This is Gautam. So, in terms of different models of pricing, you worked through predominantly either on a fixed place model, which is based in terms of repetitive programs or projects that the client keep sending in terms of different areas of advanced analytics that need to be delivered as projects. 42:46 The second area that we consistently work, especially in our embedded analytics side of the business is as a UTP based model or a gain share model, which then delivers the outcomes that the client is looking for that adds further in terms of the profitability actually of the analytics function. And the third area is, standard FTE model, where we’re seeing a bigger uptick at the moment as to our gain share models, which actually drives the revenue or the profitability of the client.
David Mackey: 43:19 Yeah. And just to further what Gautam said, it's a great question, Maggie, because I think it really goes to the WNS strategy as it relates to analytics. We report roughly 11% of company revenue on a standalone basis. This is where, what we're doing in the analytics area is completely separate from other things that we're doing for that client, right? So, the functional analytics that Keshav talked about where we're managing centers of excellence that falls into that analytics bucket. 43:52 The project specific work that we're doing would fall into that analytics bucket, but the vast majority, another 9% of overall company revenue and the difference between the 11% standalone and the 20% total, is embedded into our industry specific work, it's embedded into some of our customer experience work. It's also embedded into some of our finance and accounting work. 44:15 So, that's where the analytics work that we're doing really can't be separated or pulled apart from the value that we're delivering to that line. The good news I think from a business model perspective is if you really dig into the WNS analytics business, what you'll find is it’s less than 2% or 3% of company revenue is really project based work. The majority of the analytics work that we do for clients is recurring in nature, and it's either embedded into what we do for that client or it's functional on a long term contract.
Maggie Nolan: 44:52 Great detail. Thank you all.
David Mackey: 44:54 Thanks Maggie.
Keshav Murugesh: 44:55 Thanks Maggie.
Operator: 44:58 Our next question comes from the line of Moshe Katri with Wedbush Securities. Your line is open.
Moshe Katri: 45:03 Thanks. Great numbers, Happy New Year everyone. Two things. I wanted to dig a bit deeper into the travel vertical. Can you maybe walk us through, just to, kind of get a feel on how this vertical, kind of change or evolve, now that we're about two years into this pandemic? Are you changing in terms of how you go to market? It seems that you've been able to replenish some of the pipeline? Anything that's of note and then I'll have a follow-up? Thanks.
Gautam Bari: 45:36 Sure. Happy New Year to you to Moshe. So, from a travel vertical perspective, just as a background, the volume increases over the last number of quarters has been predominantly driven through the U.S. Domestic travel markets space. And we've got [regards] [ph] in terms of the hotel industry, some of the other regions of the world, etcetera. Now in terms of – and most of the volumes has been driven through the OTA industry, but where we are seeing a shift in dimension is more and more of the traffic is moving directly to the B2C side of the channel that with hotels airlines etcetera are providing a greater trust into this industry. 46:16 So from where we see and that’s the area where we have consistently been quite good at in terms of delivering the end outcomes. And where it is reflected in the number of significant new client wins that we have had over the last 12 months, including benefiting from some of the industry consolidation that have happened over here. 46:35 So, again, the volumes continue to be driven to new clients, existing clients expanding their wallet share, and thirdly in terms of as the international volumes start increasing and the demand starts increasing, we do anticipate that this area will further see growth.
Keshav Murugesh : 46:57 And maybe I'll just add over there that over the last 18 months we have seen the volume recovery after it got impacted from a pandemic perspective, but that still is not fully recovered, right? And those volumes as we move forward, we believe that 2% to 3% of the company’s revenue are like 6 million per quarter is still what we are expecting as we move forward to recover other than the bounce back in this entire industry.
David Mackey : 47:25 Yeah. And just to add one piece of color to that Moshe, I think one of the interesting things that we've seen over the last couple years is that while travel has obviously had its major challenges, I think one of the clear differences that we've seen in behavior is an increasing focus across the travel spectrum on customer experience and understanding that these clients need to change, kind of how they operate that they're going to have to re-earn the trust of travelers, whether it's on the OTA side or the airline side or the crude side, and that the customer experience is going to be a huge part of it. 48:03 So, part of what we've seen in terms of our ability to add new clients in terms of expanding existing relationships has been the need for them to fundamentally change how they go to market and how they work with their customer base going forward, and we think it's created a huge opportunity for us. 48:22 We look at travel and as Sanjay mentioned, you know we're certainly not fully recovered with several of our larger clients who are operating at levels that are still well below where they were pre-pandemic, but this is clearly a vertical that we believe we've got a unique capability and it's a vertical from an investment perspective that we believe makes a lot of sense for us to double down on given our knowledge, given our capability and given the opportunity going forward. So, very, very excited about the travel opportunity over the next couple of years.
Operator: 49:03 Thank you. Our next question comes Puneet Jain with JPMorgan. Your line is open.
Puneet Jain: 49:10 Hey, thanks for taking my question. So, overall, seat count during the quarter was down significantly, I think it was 600, 700 seats and yet the facility related expenses increased on sequential basis, was this cost increase driven by employees returning to offices sometime during the quarter? And more broadly, how do you see delivery model evolve over the medium term in terms of employees working from home versus from offices?
Sanjay Puria: 49:44 So, Puneet, you know, good point over there, absolutely you're right that the facility cost increased because of the employee returning to office from work from office model perspective. So, last quarter, we had 17% and this quarter we had 21% working from office. So that was a one reason. 50:05 And related to the reduction of the seat, if you recall, we did mention about one of our South African clients ramp down and accordingly, we did surrender the facility also. And also one of the [indiscernible] of what we did and as part of our consolidation exercise, we released another facility. 50:18 So, you know, because that's how the synergy works and that was the reason of reduction of the seats, but as we move forward, we are ready with all our models, it's a hybrid work from anywhere, all those models we have invested into that, and as we move forward, we will have to see how client behave and how clients insist on that. And accordingly, we will be related with that. So, I think we will have to wait, how things spans out as we move forward from here.
David Mackey: 50:55 Yes. I think the good news is, Puneet though as we kind of move forward here, we know that there's going to be some percentage of our work that's either going to be structurally work from home or structurally hybrid and what we believe this will allow us to do longer term is push the seat utilization numbers up for the organization, and reduce the capital expenditure requirements as a percentage of revenue along the same line. 51:20 So, those are two very positive trends, not just for WNS, but probably for the entire industry that we would expect to see as the dust settles on the pandemic and we get a better sense of what types of work clients want to be done in office versus remote.
Puneet Jain: 51:40 Understood. And how are your sales cycles coming along? And how should we think about like the bookings pipeline and the moment of deals within the pipeline as we think about next year or your medium term growth rate?
Gautam Bari : 52:01 As Keshav earlier alluded to a previous question, the pipeline couldn't be more robust in terms of size and the broadness in terms of across multiple verticals. So, where we are seeing this decisions continue to be taken by clients, the transitions are starting up in multiple ways. 52:20 North America continues to lead in terms of the deal pipeline, and of course, what we are seeing is many more larger deals actually starting to flow into our pipeline, some of which could end up being amongst the top 10 very, very quickly.
David Mackey: 52:36 And I think just the pace Puneet to your question, look, I think obviously, very large transformational kinds of deals require a lot of effort on the front end from a client perspective, right? I mean, without the proper road mapping without the proper path being laid, I think you're going to have major challenges with any kind of a transformational initiative. 53:00 So, it's very difficult to hyper accelerate an end to end business transformation initiative, but I think what you are seeing in terms of our ability to, for example, accelerate the number of expansions is that once we have our foot in the door with a client, the ability to add additional processes is taking less time than it used to. 53:20 So, I do think you see an acceleration in the pace of expansions, but obviously the large transformational deals will continue to move in a pretty slow pace through the pipeline.
Puneet Jain: 53:34 Understood. Thank you.
David Mackey: 53:37 Thanks, Puneet.
Operator: 53:39 [Operator Instructions] Our next question comes from Dave Koning with Baird. Your line is open.
Dave Koning: 53:47 Yes, hey guys. Congrats. Good job as usual. And I guess – first question, just on margins, you made a lot of comments, but is it fair to say at a high level, you're kind of saying, don't worry too much about margins next year because even though you might have rising wages and cost of hiring with attrition, the offsets are efficiency pricing and labor mix and that you get the margins [are probably] [ph] too different from this year?
Gautam Bari: 54:21 Yes. You are absolutely right Dave. That's what, because there are enough leavers around it, because this pressure is going to be there for somewhile based on the demand supply gap what we are seeing into the industry, as well as, as we return back to office, you know those percentages, the cost of that definitely is going to be there. But as I mentioned earlier, there are enough leavers because we are into the whole digital road map technology automation, road map as well as in a different geography, including the whole Tier 2 strategy, you know, with that mix. 54:59 So, there are enough leavers to do that, so I think we expect the margin to be stable as we move forward.
David Mackey: 55:07 And I just want to add that, you know as with the kind of attention that the WNS brand is getting from prospects and clients and the way the hyper automation wave is progressing, we will continue to make all the investments that we have traditionally made and we will accelerate those investments in every one of the areas that I spoke about earlier. 55:30 So, we are confident that we can make all those investments, we will accelerate those investments where is acquired, and also have the levers to continue to maintain industrial leading margins. So, I just want to give that comfort as well.
Dave Koning: 55:44 Yes, great. Thanks. And that's good. Second question, I guess on tax rate, you made some comment about the mix of geos has created a little bit lower tax rate, and I think you've guided last quarter, if I remember maybe 23%, 24%, but it seems a little lower, is that kind of a permanent thing, like should we expect margins to be a little lower going into the next couple of years too?
Keshav Murugesh : 56:07 Yes, so I think there are various combination over there, right. Earlier it went up to 23%, 24%, but it can be volatile quarter-over-quarter, but from a direction perspective, it again depends about how the businesses come from in this geography. And accordingly, those couple of percentage movement will be there, as well as we move forward there will be some [consent] [ph] of our, you know the tax exempted facility whether it is a special economic zone or whether it's a [Peso into the Philippines] [ph], so those impact will also be there. 56:46 So, I think it can be in the range of the 21% to 23% depending upon the mix of the business and some of the sunset as we move forward.
David Mackey : 56:56 I think the only other thing I'd like to add to that, Dave, is on a year-over-year basis it's also important to note that last year, kind of in the height of the pandemic, we carried a significant number of excess resources and we carried them in our high profit geographies, right? So, India, the Philippines is where we carried excess resource through the pandemic. As a result, the profitability in some of those lower tax geographies was less and that resulted in the higher effective tax rate for the company. So, part of what you're seeing on a year-over-year basis is kind of the normalization of the amount of resource that we have relative to the amount of revenue that we have.
Dave Koning: 57:39 Got you. It makes sense. Well, thanks guys.
David Mackey: 57:42 Thanks, Dave.
Keshav Murugesh: 57:44 Thank you.
Operator: 57:45 Our next question comes from the line of Moshe Katri with Wedbush Securities. Your line is open.
Moshe Katri: 57:50 Hey Thanks. Just wanted – I had a follow-up and I got disconnected before. So, the momentum needs to be very strong as you suggested, we are getting closer to the end of the fiscal year, can you assume that the mid-teens kind of growth and adjusted revenue is sustainable down the road?
David Mackey: 58:15 Let me take that Moshe. Look, I think obviously, you look at the momentum coming out of the year and we've now been consistently putting up kind of those mid-teens numbers. When you look at next year today, right, I think the biggest question that we have is not really would we be able to continue to add at the same pace, but the question will be, what if anything will be the headwinds to the year, right? 58:40 One of the things that we didn't talk about today is that despite the fact that we're putting up 15% organic constant currency growth, we’ve actually had a headwind this year that was a little bit outsized. So, we've been able to grow if you will into a number that was larger than usual, because for example, we renewed a number of our large clients earlier on in the year. 59:03 I think the biggest question for us next year isn't whether we're going to be able to put up 20% plus gross growth. The real question is for next year is, the headwind of the business going to be 5%, is it going to be 7%, is it going to be 9% like it was this fiscal year? So, I think that's the one thing we've got to fix on. And then obviously, when we guide understanding that there will be a difference on a year-over-year basis, just based on the fact that we will not include the short-term revenues into the guide for next fiscal year. So, that always creates a headwind in terms where we start the year from a guidance perspective versus the actual numbers that we put up the previous fiscal year.
Moshe Katri: 59:46 Understood. Thanks for the color.
David Mackey: 59:49 Thanks, Moshe.
Operator: 59:53 Thank you. At this time, we have no further questions in the queue. This will conclude today's conference call. Thank you for your participation. You may now disconnect.